Operator: Good day ladies and gentlemen and welcome to the Cameco Corporation First Quarter Results Conference Call. I would now like to turn the meeting over to Ms. Rachelle Girard, Director, Investor Relations. Please go ahead, Ms. Girard.
Rachelle Girard: Thank you Donna and good afternoon everyone. Thanks for joining us. Welcome to Cameco's 2015 first quarter conference call to discuss the financial results. With us today on the call are Tim Gitzel, President and CEO; Grant Isaac, Senior Vice President and Chief Financial Officer; Ken Seitz, Senior Vice President and Chief Commercial Officer; Bob Steane, Senior Vice President and Chief Operating Officer; Alice Wong, Senior Vice President and Chief Corporate Officer; and Sean Quinn, Senior Vice President, Chief Legal Officer, and Corporate Secretary. Tim will provide comments on our financial results and the industry, then we'll open it up for your questions. Today's conference call is open to all members of the investment community, including the media. During the question-and-answer session, please limit yourself to two questions and then return to the queue. Please note that this conference call will include forward-looking information, which is based on a number of assumptions and actual results could differ materially. Please refer to our annual information form and MD&A for more information about the factors that could cause these different results and the assumptions we have made. With that, I will turn it over to Tim.
Tim Gitzel: Well thank you, Rachelle, and welcome to everyone who has joined us on the call today to discuss Cameco's first quarter results. We certainly appreciate you taking the time to join us, and I would tell you it’s an exciting day here at Cameco. It’s Ken Seitz birthday today, so we’ll be celebrating by having some cake after the call. I’d like to start with our most recent and exciting news, the singing of a long-term supply contract with India. I was in Ottawa for the signing with Prime Minister Modi, Prime Minister Harper, and our very own Premier Wall, and I can tell you this is a landmark agreement for our company. The agreement itself is for 7.1 million pounds of uranium delivered through 2020. More importantly, it’s the first step in what we hope is a long relationship with India, a country with one of the fastest-growing nuclear programs in the world. They currently have 21 reactors operating and six under construction, which should come online over the next five years. Beyond that, they have many more plans as they grow their nuclear fleet from today’s 6,000 megawatts to 45,000 megawatts of capacity, that’s a huge amount of growth over the long term, and we see it as a big opportunity for fuel suppliers like Cameco. I’ll talk more about the market in a moment, but first let’s talk about our results. Net earnings were down from this time last year when we saw the benefit of the sale of Bruce Power. But for the most part, the decrease was just a result of an accounting treatment. In order to minimize the effective changes in foreign exchange rates, we enter into foreign exchange contracts. According to accounting rules, we must report the value of those contracts as though they were settled at the end of the quarter, though in most cases they are not. This quarter, the strengthening U.S. dollar resulted in a reported loss on those foreign exchange contracts. When we remove the impact of the exchange rate as we do in our adjusted net earnings, we were up from this time last year. That’s largely because of the strong performance of our fuel services and NUKEM segments. On the production side, we were down somewhat from this time last year, but we remain on track to deliver on our guidance for the year. The reduction this quarter was primarily a result of an unplanned outage at the Key Lake mill. The good news is the strong performance at Rabbit Lake and Cigar Lake was able to make up for much of it. Cigar Lake continues to be a highlight for us. The jet boring system is performing well, and as of April 25, we have mined 2.7 million pounds, and the McClean mill has packaged 1.5 million pounds. We are still in the learning phase at Cigar Lake, but we are very pleased with the results we’ve been getting and are on track to reach 6 million to 8 million pounds by the end of the year. Of course, we all continue to watch the market closely, and there was not a great deal of change there in the first quarter. Japanese reactors remained shut down and the path to restarts remains challenging. That was especially evident with the recent court injunction seeking to prevent the restart of the two Takahama units. These reactors that have been approved for restart by the Nuclear Regulatory Authority, these are reactors that have been approved by the - for restart by the Nuclear Regulatory Authority under their new stringent safety rules. However, similar attempt at an injunction to block restart of the two Sendai reactors, which are currently poised for restart this summer, failed. So overall, the mix of positive and negative developments brings a little more uncertainty to the process, which we will continue to watch closely. And for yet another quarter, contracting remained modest as fuel buyers remain well covered for the timing being. However, we’ve been happy to see the uranium price increase from the low of $28 we saw last year, and showed some strength around the $40 range, but it still remains far below where we think it needs to be to both sustain and encourage new production. With that said, the long-term fundamental still looks bright with a clear progression of growth on the horizon. Today, there are 63 reactors under construction around the world representing billions of dollars of investment, and significant growth in future uranium consumption. Nuclear energy continues to be an integral part of the world’s energy mix, particularly in countries with the most rapidly expanding economies. China and India are the global frontrunners with a combined 29 reactors under construction today. I’m happy to say that Cameco has uranium supply agreements with both of these countries that are so integral to the nuclear industry. We hope to build on these opportunities as these countries continue to grow and add even more nuclear capacity to their grids further out in time. So, you can see why we remain excited about the future of the uranium market and the future for Cameco. So with that, I will stop there and we would be happy to answer any questions you might have. Thank you.
Operator: Thank you. We will now take questions from investors, analysts, and media. In order to respect everyone’s time on the call today, we will take your question and allow one follow-up question, and then if you have further questions, please return to the queue and we will get to them after others have had their change. [Operator Instructions] And our first question is from Ralph Profiti from Credit Suisse. Please go ahead.
Ralph Profiti: Good afternoon. Thank you for taking my question. Firstly, is there anything that we should read into what seems to be slowing in the rate at which the CRA has issued notices of reassessment. It was around this time last year that an accelerated rate was anticipated, it doesn’t seem to have played out that way in terms of rate, just wondering if you would agree with that and why?
Tim Gitzel: Thanks Ralph. I will ask Grant to answer that question.
Grant Issac: Yes, it was our expectation, last spring, when we had received the 2009 reassessment quite early. In the past, we’d always received it in quarter four. We have received 2009 early last year, and we were - it was indicated by us - to us by the CRA that they would increase the rate of reassessments. As a result, we said, we expected 2010 to fall in last year. It didn’t show up. It didn’t show up in quarter one this year. At the moment, we’re just waiting for it to arrive. In terms of what you read into it, I would have to redirect you to the CRA.
Ralph Profiti: I understood now. Thank for that. Secondly, since the signing of the supply agreement with the Department of Atomic Energy of India, has there been any change in behavior of the utilities towards long-term contracting, understanding that these volumes are relatively small, but could a few more deals like this create a greater sense of urgency to bring forward contracting activity?
Tim Gitzel: Well, we’re certainly hoping so Ralph, but it’s a little early. We just finalized that deal 10 days ago. And so, we’re - it’s an important one. You saw the pound - 7 million pounds, which is important in our portfolio, but not going to overly move the needle. It’s the fact that we’ve got our foot in the door in India, and now have relations with them, government to government, company to company, they were over here, we had great meetings with them. I know some of our folks are heading over right away and we will be regular visitors probably to Mumbai and Delhi and Hyderabad. And so, that was the important part for us. So you saw the coverage it bought, which we thought was important, and yes, we think the nuclear world will take notice of that.
Ralph Profiti: I understood. Thank you very much.
Operator: Thank you. Our next question is from Greg Barnes from TD Securities. Please go ahead.
Greg Barnes: Thank you. Since, it’s Ken’s birthday, I will ask Ken a question. So, Ken, what do you think the market opportunity is in India for you? Seven million pounds, like you said is a start, but where do you think it goes?
Ken Seitz: Yes, very good. By every indication, we’re one of the first certainly western suppliers of uranium in India. We’ve been there for about 10 years, now trying to evolve those relationships, and I would say now we do have very strong relationship. So if you look at how demand is growing in a country with eventually 45 gigawatts probably over the next 20 years, we expect that we’ll at least be able to maintain our market share in India that we do in every other part of the world, so can we occupy 20% of the Indian market? Yes, I think we can. As Tim said, a great start, 7 million pounds, but we’ll be heading over there in the not too distant future and looking to add volumes to that as well. So the short answer is I think there’s immense opportunity there Greg.
Greg Barnes: Okay, just as a follow-up. You said in the report that utilities are will covered through 2015 I mean globally, and I’m wondering where you think utility sits beyond that. And obviously this comes back to the long-term contracting question. I think in the past, you said for the next several years, but how is that evolving in your view?
Bob Steane:
-- : And we have seen some activity over there this year, I’d say albeit small, and last year where, I would say if utilities are stepping in they probably are covering off near term volumes where people are willing to sell in that timeframe. Further out, we just haven’t seen a lot of those activities. So we look out to 2018 and beyond, Greg, we start to see those uncovered requirements starting to open up, and of course over time they open up substantially.
Greg Barnes: Okay, thank you.
Bob Steane: Thanks, Greg.
Operator: Thank you. Our next question is from Brian MacArthur from UBS. Please go ahead.
Brian MacArthur: Good morning. Just on the CRA, and I suspect this is for Grant. This table in here, where you’ve got a minus 44, it looks like are you getting money back on this payment or why is that a negative number? Because I thought you had to keep laying cash out at the end of the day?
Grant Isaac: Yes, Brain. Thanks for the question. The amount that we put in is always the net amount. So of course as they reassess us, 50% of that reassessed amount has been due as transfer pricing penalties have come along 50%, and that amount is due. But it has always netted against tax loss carry forwards that we have, subsequent filings for other years that might have driven a refund would be netted off against that, and so all that we’re reporting is the net number, because that’s ultimately what we end up parking with them.
Brian MacArthur: I mean I thought the whole purpose of this is they didn’t like your structure, so now you’re creating negative cash to get some back, is that forward-looking that minus 44, or is that actually matched to stuff that you’ve already done.
Grant Isaac: Well, so, perhaps, the other way to look at it is we support our structure and we continue to file taxes on the basis of that structure, and when we file those taxes, you’ll remember that in Canada they drive net operating losses.
Brian MacArthur: Right.
Grant Isaac: Which they drive a refund position, so this is a refund that’s assigned to a later period that we’ve already filed, they’ve recognized that and then they’ll have to go through the process to reassessing it. So it’s a year that they haven’t yet reassessed but have accepted the filing under our current structure.
Brian MacArthur: So when you give us these forward numbers, because I don’t know if I'm doing this right, but when I look at the $143 million that you’ve done 2003 to 2014, it kind of matches up with what this chart says, but then does that mean of that $165 million to $190 million, you are forced to pay in 2015 you’re crediting back $44 million, I mean I’m just trying to figure what the cash at the door is?
Grant Isaac: No, we haven’t forecasted on the net, so the years for which we haven’t filed, we haven’t forecasted or refunded if you will for those years. But this just reflects what’s actually been filed netted out against what’s due as a part of the dispute process.
Brian MacArthur: Okay. That helps. Thanks very much, Grant.
Grant Isaac: Thanks, Bryan.
Operator: Thank you. Our next question is from Orest Wowkodaw from Scotia Bank. Please go head.
Orest Wowkodaw: Hi another question on the CRA. When do you think you will get some visibility on whether you can use letters of credit to fund these 50% payments on the CRA amounts?
Grant Isaac: Well, the process is one where we will wait for this 2010 reassessment to arrive. When it arrives, we will attempt to use a letter of credit to secure the 50% reassessed amount on that. So, as I said earlier, we don’t know when it’s going to show up, when it shows up that’s when we can hopefully enact that instrument to cover the reassessed amounts.
Orest Wowkodaw: Okay. But it sounds like that’s fairly imminent.
Grant Isaac: Well, yes, I don’t know. It could be, it maybe not, I mean we had thought that 2010 was going to show up at the end of last year and it didn’t, so that’s where we are right now.
Orest Wowkodaw: Okay. Is your expectation that the CRA would give you an answer on the letter of credit pretty instantaneously when you try to submit payment with that?
Grant Isaac: Well, I suppose our view is that there really isn’t an answer to give. I think we’re - it’s pretty clear we are entitled to use this instrument for reassessed amounts. And so when the 2010 year arrives, we would seek to secure that right.
Orest Wowkodaw: Okay. Thanks very much.
Grant Isaac: Thanks Orest.
Operator: Thank you. Our next question is from David Talbot from Dundee Capital Markets. Please go ahead.
David Talbot: Good afternoon, gentlemen. Sales guidance remains at about £31 million to £33 million so far, but you have suggested that earlier deliveries into India might start this year. So essentially would those deliveries be designed to test shipping and custom brokerage logistics and not really significant enough to move guidance?
Tim Gitzel: Yes, thanks David. Yes, we continue to say £31 million to £33 million, it is true that we have a delivery in 2015 to India which if we were, may be in the lower end of that £31 million to £33 million, we now are somewhere in the higher end of that £31 million to £33 million, could we surpass £31 million to £33 million in 2015? That remains to be seen. So for today, £31 million to £33 million, fair points about making delivery to India and then test the shipping routes and all those things, yes, we’ll be doing that later this year.
David Talbot: Okay, thank you for that, and then secondly McArthur River production was down year-over-year due problems with the calciner. Are those issues behind you right now, at least until the new calciner can pick up the slack? And really, do you think you can make up this lost production by year end? So again production guidance remains intact.
Tim Gitzel: Yes, thanks David. Bob Steane is here and ready to answer that question.
Bob Steane: Yes David. The short answer is yes. That the problems are behind us, there were couple of mechanical issues with the existing calciner that we had take an outage to deal with the problem, appropriately has done, it is back online and doing fine. So that’s - and we still -- we believe we will meet our production by adjusting the production schedule going forward.
David Talbot: Okay.
Bob Steane: So we will meet the production for the year.
David Talbot: Okay, thank you very much.
Tim Gitzel: Thanks Dave.
Operator: Thank you. Our next question is from Daniel Rohr from Morningstar. Please go ahead.
Daniel Rohr: Thank. Could you talk a little bit about the provincial approval process for the McArthur River expansion and then how quickly you could ramp to 25 if the market conditions warrant it?
Tim Gitzel: Yes. So we have got the provincial approvals for expansions in the past. It requires an application to provincial government, they will review it. It’s normally been certainly a fair process that moves along quiet quickly. So I can’t give you the exact timelines, but we don’t think that will be a roadblock in our efforts to move McArthur forward.
Daniel Rohr: Okay, and then just switching gears a little bit. What’s your sense on the I guess longer term prospect for inland reactor development in China?
Tim Gitzel: Ken, do you want to take that one on?
Ken Seitz: Yes, I think what we would say is that the Chinese are on a program that has their 58gigawatts by 2020 and have another 30 units under construction after that. Where those reactors are located, both inland and coastal, but those are the numbers that we continue to work with, and in fact, we were just at a nuclear conference last week where we had our Chinese colleagues up at the podium reaffirming those numbers.
Daniel Rohr: All right. Thank you very much.
Ken Seitz: Thanks Dan.
Operator: Thank you. Our next question is from Oscar Cabrera from Bank of America. Please go ahead.
Oscar Cabrera: Thank you, operator. Good afternoon everyone. Just I was wondering if you can provide a little bit more context on the increasing CapEx around the McClean mill. It’s a $20 million increase in 2015. But in your comments, you’ve said that revise [ph] you’re expecting additional expenditures after 2015, wondering if this is just the bottlenecking or if you are expecting a larger sum than what happened in 2015?
Bob Steane: Yes Oscar, Bob Steane. The capital this year, AREVA has advised, and we put that -- as the construction has been progressing and advancing, they have realized that it was additional material, the additional piping and electrical that needed to be added to the plant that needed additional labor. So that’s the cause and that was what happening at the mill. And the biggest construction piece is this year, but they are going through an estimate to see what was the impact, what may be the impact on work next year.
Oscar Cabrera: All right. Sorry, just to clarify, that additional work required in 2016, is there an estimate or a figure that you’re working with in terms of an amount or a percentage of the project?
Bob Steane: At the moment, we are waiting on AREVA’s figure to come forward with their new numbers if it changes at all, we’re waiting on AREVA.
Oscar Cabrera: Okay, understood. And then secondly, your comments with regards to the supply side and there have been a number of mines with issues in different continents. In the past you had supplied what your expectation would be of a deficit? I was wondering if you be willing to share that amount based on your current expectation of demand in China with the additions that you talked about in India?
Tim Gitzel: Well, just on a global basis, Oscar, we’re looking this year at production somewhere in the 155 million pound range. Now that will depend on a lot of things. I mean, we talked about some supply disruptions that include our own in the first quarter. I guess if you’re just looking at that, we were down a bit at Key Lake. We think we will make that up. Some of our competitors have had issues with different circuits in their mills as well, which tells you this isn’t an easy game. But overall, we expect production probably to be in the 150 million pound, 155 million pound range, consumption, 165 I think is our number. So there is a structural deficit. And then it’s the secondary market of course that no one knows exactly what that number is that’s covering. So far the good news from our perspective is that the consumption line continues to rise. And we were just talking about it this morning, we’re looking at a demand of 230 million pounds in that range by 2024 and in a market where there is not a lot of new production coming on you’ve got [indiscernible] that everyone knows is out there. We’re waiting to see how that’s going. But other than that there is not a bunch and we’re all working hard to keep our existing production where it is. So that’s the – that’s what we’re working toward everyday here and trying to get through these more difficult times, but knowing things are looking better going forward.
Oscar Cabrera: Yes, they are. Thanks a lot, Tim.
Tim Gitzel: Thank you.
Operator: Thank you. Our next question is from Steve Bristo from RBC Capital Markets. Please go head.
Steve Bristo: Yes, thanks for taking my question. I was just wondering if you could remind me, if there is any Cigar Lake sales volumes including your overall consolidated guidance for uranium.
Tim Gitzel: Yes, a couple of things. One, we have some Cigar Lake base load contracts, which are in place, but of course, for any Cigar Lake production over and above that that just goes into our bucket of mine supply and purchases and all of those things. But, yes, I think it is fair to say we would be moving some Cigar Lake volume.
Steve Bristo: Okay, but the only flow through the income statement is after commercial production, is that right?
Tim Gitzel: Grant?
Grant Isaac: The accounting treatment for right now, Steve, is a bit interesting, keep in mind that Cigar Lake is an operation – has an operating license with it, so while we’re marching up towards commercial production declaration, the accounting treatment is as follows. The revenues from Cigar Lake are recognized and the operating expenses are recognized up until the point of our average cost in our inventory. Costs above that are capitalized. In other words, there’s no depreciation happening for Cigar Lake. So once commercial production is declared, really the only change that you’ll see is the addition of depreciation, the non-cash cost from Cigar Lake will start coming in.
Steve Bristo: Prefect, that helps us. Thank you.
Tim Gitzel: Thanks Steve.
Operator: Thank you. The next question is from Graham Tanaka from Tanaka Capital. Please go ahead.
Graham Tanaka: Hi, guys. Just wondering if you could give us a little bit more color on potential incremental supply out there and what kind of cost levels. It’s kind of hard for us to get a feel for that, the areas where supply is maybe shut down or higher costs they have had some other issues. So if you could just give us a little color as to what current supply is? And then how higher price might have to go to sort of the market clearing for additional capacity? Thank you.
Tim Gitzel: Yes, Graham, I would just probably turn to what some of our friends and competitors have said, if you’ve been following them. To incentivize new production, clearly, prices where they are today aren’t in the ballpark. For that I will give you our example, Kintyre, which we looked at back in 2012, I think at that time we were looking at about US$67 price, just to break even. Now, that’s three years ago. So you can – I can tell you where that – that’s gone from there, I think you saw some of the others in the 70, north of 70 range, some of the bigger African mines, we’ve heard to $80 to $120 for others. So that’s just gives you some perspective. Yes, there is some incremental production that can come on at some of the bigger mines in Canada and Kazakhstan, but that’s not going to be enough to cover. And after that, you’re looking at significantly higher incentive prices being required to bring on new production.
Graham Tanaka: I’m just trying to get a feel if relative to those costs that you just sort of breakeven levels, you gave how much volume percentage wise, are we talking about? Are they still thin or incrementally talking about how many millions of pounds, I just roughly if they can sort of put a band on it? Thank you.
Tim Gitzel: Yes, I am not sure I can do that. You know we look at projects in terms of kind of what tier they’re in, I talked about the Canadian – some of the bigger Canadian production I think of the McArthur, Cigars and then of course some – some of the projects in Kazakhstan that would be in the bottom tier. You know there are up and going. There is not another Cigar out there in Saskatchewan waiting to go, so there aren’t, not in our portfolio or in anybody else’s. And so, incrementally we can – we’ve talked about moving McArthur up a few million pounds, Cigar, we’re just trying to get it up to design capacity over the next few years. Kazakhstan, that would be a good question for Kazatomprom; we know there is room for some incremental production but again they are at over 20,000 tons, they are not doubling that production there. They can have – there is some incremental production there in the lower tier of projects. After that it goes up the curve pretty quick. Your African production, and we’ve seen some of AREVA’s projects and other projects that are out there where they’ve stated like I say, it’s probably north of $70 to get excited about moving those forward. And I daresay it might even be higher now. So, there is a fairly healthy spread between projects, but like I say today’s prices, I think I saw the spot in the $38 range this morning that’s going to have to move significantly from there to get people excited about spending capital on new projects.
Operator: Thank you. The next question is from David Wang from Morningstar. Please go ahead.
David Wang: Hi, thanks for taking my question. I just want to see if you had some color to add on your ranking of which the new mines you could bring on eventually in the long run. I know you’ve been moving forward on environment approval for Kintyre and compare that with like Millennium and your other projects like – how would you rank them in order of coming online? And when do you see those being needed for the market?
Tim Gitzel: Well, there is a whole of factors go into any one of those decisions and especially when you’re operating in different countries. You’re looking at the geopolitical situation, the infrastructure, whether the local community supports you, what the environmental approval process is. All of those things go in and none of them are simple in any country. So you’re weigh those and in our case, we talked about McArthur, we think that is a huge bonus for Cameco to have received now this approval to go to 25 million pounds at McArthur Key Lake. We still up to get the provincial approval for that, but if you take that project where today we produce in the 18.7, 19 million pound range. To have the approval to increase that by 5 million or 6 million pounds, I can tell you if you had to go out and buy a project, get it up running, get it to 6 million pound capacity that would be a significant piece of work for you and a significant expenditure. So we’re – we think we’re in a very good position with that project. After that, as I say it depends, we just got approval for Kintyre and environmental assessment approval moves out ahead. However, as I said earlier, it’s not in the money, not even by quite a ways at this point. We’ve got Yeelirrie project, we like it a lot. It’s in WA as well, you got the support of government there today but no market to go to work on that; Millennium here in Saskatchewan is a nice ore body, close to existing facilities which is a real bonus again. And so, I can’t tell you really what ordering things completely turned around on a dime. We would weigh all of those factors, royalty, tax rates, all of those things and decide, if you did one project, which one it would be. So – but those are the factors that we will go into our decision.
David Wang: All right, thanks. And as a follow-up, do you see contracting volumes from China changing much as they’re set to bring their fleet online? And how far out do you see these reactors contracting for demand right now?
Tim Gitzel: Ken?
Ken Seitz: Yes, I think suffice it to say that we believe that the Chinese like the balance of our customers are fairly well covered at the moment, but of course have a growing program. And for every reactor that they start building, they go and put some initial cores in behind that and then however many years of inventory, four years of inventory in behind that. So we do see well covered at the moment, but we also – I can tell you see the Chinese in the market all the time. And so I expect that it will just be normal course contracting with the Chinese as they continue – as they continue to grow their fleet.
David Wang: All right, thank you.
Operator: The next question is from Greg Barnes from TD Securities. Please go ahead.
Greg Barnes: Yes, thank you. What kind of capital cost is required to get you up to 25 million pounds at Cigar?
Tim Gitzel: Yes, it’s probably…
Greg Barnes: At McArthur, sorry, yes…
Tim Gitzel: Greg, we knew your question is McArthur. And Bob, do you want to just comment on that capital cost on moving things.
Bob Steane: The biggest, Greg, we haven’t – we haven’t sat down and done an assessment as to what the cost would be, but the incremental cost or the incremental changes, we have got at McArthur, we will need to put an additional ventilation. I think growing that ventilation capacity to support that production, excuse me – just and that’s probably the biggest piece at McArthur; Key Lake, we’ve been on the Key Lake revitalization train for some years now and probably the biggest bottleneck in the Key Lake circuit today is the calciner, which we have been working on and should have a new calciner later this year up and going. There is a few other things that we would need to adjust, the solvent extraction plant, some small modifications [in crystallization] [ph]. But I haven’t done a real detailed cost estimate, but it is not a big quantum like building a new mine, it’s the delta.
Greg Barnes: It’s probably $100 million, do you think?
Bob Steane: It’s always there – yes, I don’t know Greg, I don’t want to put a number on it. But it will be in a smaller number to, especially when compared with a new facility to get that additional production.
Greg Barnes: Okay. And just a follow on Grant, on the IRS versus CRA disputes. I’ve heard you suggest that the IRS you’re actually encouraged by the fact that they are not disputing the transfer pricing methodology? Do you want to explain that relative to IRS and CRA and the methodologies and what is and isn’t being disputed?
Grant Isaac: Yes. So we do have a bit of a table and a disclosure back from February trying to outline the differences between the two. And when we looked at the IRS, the notice of proposed assessment followed up by the revenue agents report which essentially confirm the NOPA that we had already disclosed. What we do find very interesting is looking at the 2009 year-end and we have a reassessment from the CRA for the 2009 year. We find two tax authorities drawing very different conclusions on our corporate structure because you remember at the heart of the CRA dispute is a belief that our structure is not appropriate. We haven’t seen that criticism in the IRS NOPA. Instead there seems to be support for the structure and in fact it’s just the pricing within the structure that is the basis for their assessment. And I guess that at 30,000 feet we just think that’s a very interesting that an equally legitimate tax authority looking at international structures through the same OECD transfer pricing guidelines would draw a different conclusion about our structure.
Greg Barnes: Does that come down to different tax rules in the different countries or not?
Grant Isaac: I’m sure ultimately it would, but as I say there is a set of guidelines out there. The OECD guidelines that govern the way transfer pricing on these global structure–should be arranged. Now, of course, every country has the ability to transpose them into their own domestic legislation but there are international guidelines in order to create a bit of harmony around the world and what we find is two different interpretations sitting side by side for the same 2009 year.
Greg Barnes: Okay. Thanks, Grant.
Grant Isaac: Thanks. Greg.
Operator: Thank you. [Operator Instruction] And the next question is from Orest Wowkodaw from Scotia Bank. Please go ahead.
Orest Wowkodaw: Hi, thanks for taking my follow-up. Just again digging a bit deeper on Greg’s question about McArthur moving to 25 million pounds a year. Two more questions around that, what uranium price do you think you would need for you to push the green button on that one. And how long do you think it would take to develop it to get the capacity up be able to produce 25 million pounds?
Tim Gitzel: Well, Orest. We won’t go on that one on the uranium price. I can tell you what we want to do is maintain flexibility in this market. And that was the change, you will remember to our strategy rather than just increasing our production, we said we wanted to be flexible, flexible up and down. And so this is McArthur’s the upside, if you like, as far as that goes. We’ll watch the market to see which way it’s going. We had talked in the past about going to 21 million pounds or 22 million pounds by 2018. So this is approval now to go to 25 million pound requires us just to go back and see as Bob was talking about what’s required for capital, what timelines are required to get it to 25 million pound. But we’ll be doing that work over the next months because we want to be ready. And Grant said earlier to me this morning, at McArthur we are in a position to spend a bit of capital that you saw, that’s for us to be prepared for the future which we think is going be pretty good. So we’ll be doing that work, Orest, over the next while and to the extent we can keep you posted on that, we will.
Orest Wowkodaw: So does that suggest that you might actually put the capacity in place before you actually planned to turn it on?
Tim Gitzel: I think I would say we’ll take – we are as you’ve seen on our CapEx chart trying to reduce capital spend as much as we can during this difficult time in the market. And we’ve had some success on that. That doesn’t mean though that we – where we see an opportunity to spend some capital to help us prepare for the future and be ready, we’ll do that. That doesn’t mean that probably today investing in a new mining project we wouldn’t go there I don’t think. But where we can, especially at our Tier 1 asset McArthur and Key Lake if we can spend some capital. Now where it make sense to have that place prepared for the future we’ll do that and that’s a little bit of what you saw with some of the capital this quarter.
Orest Wowkodaw: Great. Thanks very much.
Operator: [Operator Instruction] And our next question is from Brian MacArthur from UBS. Please go ahead.
Brian MacArthur: Following up on Orest and Gregg’s question. So should we – is that 18.7 to 25 at McArthur like for [a set of capital][ph], can we do an intermediate one where you go for a lot of less capital from 18.7 to 22 like we sort of talked about before. Are they exclusive or is it a ramp thing I mean obviously different development at different levels, but is there something else that changes the relative function there?
Tim Gitzel: I don’t know but exactly linear 18.7 to 25 on the CapEx but I think Bob explained sort of what’s the bottlenecks are I would just say we’re working our way through that Brian, I’m not sure we have a precise enough information for you today to give that out. But I don’t think there is any big fundamental tickets on your way for making the 75 - or 18.7 to 25. So, I would just say we’ll – as we see the market evolve we’ll certainly give more indication of where we are going with that. But just today as I say if we can take small steps that helps us be prepared for the future we’re doing that.
Brian MacArthur: Great, thanks very much.
Tim Gitzel: Thanks, Brian.
Operator: Thank you. This concludes the questions from the telephone line. I would like to turn the meeting back over to Mr. Tim Gitzel for his closing remarks.
Tim Gitzel: Well, thank you operator. And I’ll just close by saying that Cameco we continue to execute our strategy and pursue the goal you heard from us at the start of the year. We want to find ways to remain a profitable, low cost producer in a challenging environment. And we think we’re being successful. We continue to achieve strong production. Cigar Lake is performing well and we believe will be an excellent source of low cost pounds. Our contract portfolio returns an average realized price that outperforms the spot price. And we continue to pursue market opportunities that will serve us well now and into the future. Like the ones that we signed with China in 2010 and of course our recent agreement with India. So with that I’ll say thank you to all of you for your continued interest in Cameco and have a great day. Thank you.
Operator: Thank you. The Cameco Corporation’s first quarter results conference call has now ended. Please disconnect your lines at this time. We thank you for your participation and have a great day.